Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Good morning, ladies and gentlemen, and welcome to the Dynatronics Fourth Quarter Fiscal Year twenty twenty one Earnings Call. It is now my pleasure to turn the floor over to your host, Skyler Black, the company's Principal Accounting Officer. Skyler, the floor is yours.
Skyler Black: 00:18 Thank you, operator. Before we begin, let me remind you that during the course of this call, we will make forward looking statements regarding our current expectations plans, projections and financial performance relating to our business. These forward looking statements reflect our view as of today only. And they involve risks and uncertainties that could cause actual results to differ materially from those discussed today. 00:41 Important factors that could cause actual results to differ materially from those projected or implied by our forward looking statements today are included in our most recent ten K and other reports filed with the SEC and include uncertainties and risks related to the impact of COVID-nineteen pandemic on the business results. 01:00 We caution not to place undue reliance on forward looking statements we make this morning. We undertake no obligation to update or revise forward looking statements. We have included a slide deck as part of our presentation, which is available on the webcast if you have registered for it. If you have not, you can find it easily on our investor page at dynatronics.com. It's in the middle of our Investor Relations home page.
John Krier: 01:25 Thank you, Skyler. Good morning and thank you for participating in today's call. I'm John Krier, President and Chief Executive Officer of Dynatronics. And with me today are our Principal Accounting Officer, Skyler Black; and our Chief Financial Officer, Norm Roegner. 01:40 On today's call, we will cover the highlights and achievements of the fourth quarter and full fiscal year twenty twenty one. And the recent progress of our execution on the transformational projects announced in April twenty twenty one. Norm will provide commentary on the financials and then we will have the operator open the phone lines for questions. First, I want to again thank our employees, partners, customers and all stakeholders for their hard work and perseverance during the COVID-nineteen continuing disruptions. 02:10 Health and safety for our team and partners remain top of mind, and we work hard to preserve our business and protect our people here at Dynatronics. We are committed to responding responsibly to the challenges of the global pandemic. We issued a press release this morning announcing the financial results of our fourth quarter and fiscal year twenty twenty one ended June thirty, twenty twenty one. 02:34 We have been executing on an ongoing business transformation while simultaneously dealing with a global pandemic that has impacted our business significantly. We have continued to experience a general increase of procedure and practice visit volumes at the facilities we serve, but we are closely monitoring for any potential disruption from the recent uptick in COVID-nineteen reported case volumes. Skyler has reviewed the forward looking statements on slide two of the presentation. 03:04 So let's go straight to slide three. You can see Norm’s, Skyler’s, and my background on this slide. It provides some color as to our collective resources, and the experience that we have brought to the company. I've been CEO of the company since July twenty twenty. Before joining Dynatronics, I was involved in the management of orthopedists and bracing companies for nearly seventeen years. 03:26 I started to get to know the Dynatronics team several years ago, while working for Breg, a significant Dynatronics customer. At Breg and predecessor companies, I helped execute thirteen successful acquisitions, growing Breg revenues significantly by building a compelling and sustainable business model. We had industry leading organic growth and we had an unwavering commitment to customer experience with the mantra to make it remarkably easy for our customers to choose us. 03:54 Our team at Dynatronics has the same focus in mind and our industry fundamentals are very similar to Breg. Norm Roegner has been CFO of the company since November twenty twenty. He brings over twenty years of executive financial and operational leadership to the company and was most recently Vice President of Finance for Phillips-Medisize, a Molex company backed by coke industries. Norm has brought operating discipline and planning talent to Dynatronics, and led the team that developed the product optimization plan that we announced in April, and substantially completed on schedule in June twenty twenty one. 04:33 Skyler is our Principal Accounting officer, and has provided his valuable expertise to the company since twenty eighteen, which helps him guide our historical perspective in this transformation. 04:44 Turning to slide four, while each of these bullets is very important to our sustainable growth platform, the first four items represent our focus in the first half of fiscal year twenty two due to near term opportunities in our markets. We have substantially completed the product portfolio optimization initiatives as planned. 05:05 The completion of these important initiatives on schedule has allowed the management team and the entire Dynatronics Organization to focus exclusively on becoming better partners for our customers. I'm proud of our results and the great work of our team, not just in the fourth quarter, but over the past several quarters. These efforts have enabled Dynatronics to emerge into fiscal year twenty two in a position of strength. Before I cover the specifics of our fourth quarter fiscal year twenty one, I want to provide context to the strategy driving the momentum we are generating. 05:40 Goal number one is to deliver commercial success. To allow us to accomplish this goal, the strategy is to, one, streamline rehabilitation sales exclusive, lead to existing and new dealers, thereby eliminating perceived competition with customers from our historic direct sales efforts. And two, focus sales and marketing resources on products manufactured by Dynatronics. If we can accomplish these strategies, we will drive sales growth and better partner with our customers. 06:14 Goal number two is to expand margins and cash flow. As a company, we are going to focus on higher margin, differentiated products that we manufacture. We expect that over time, these changes will deliver higher annual net sales, gross margin, operating income, and cash flow from operations that enable sustainable long-term growth. 06:38 Goal number three is to strengthen the balance sheet via sustainable cash flow from operations, which can support additional investment in product development and or M and A in target markets. Goal number four is to build a consistent cadence of new product introductions across both of our growth markets, rehabilitation and bracing and supports by focusing our energy and resources on the products we manufacture. We are fostering an environment of consistent product portfolio innovation and product lifecycle management. 07:13 We have made targeted investments to build our leadership team and define our culture of accountability, allowing us to focus on our customers and execute on our near and long term growth strategies. 07:26 Looking to slide five, accomplishments and optimization plan results, rather than go through the slide point by point, I'll discuss the continued feedback I'm hearing from our customers and dealers as we've discussed our new focus with that. 07:40 Customers and dealers continue to tell us that this is a welcome change. By eliminating perceived conflict with our dealers, and adding account managers dedicated to our most strategic call points, we have the opportunity to build our industry leading brands and generate new sales. 07:56 Early results continue to exceed our base case expectations through the implementation of our growth strategy. We continue to add leadership talent with proven success both commercially and in business transformations in medical device markets. In addition, we have continued to strengthen our balance sheet and are taking the necessary actions for a path to organic revenue growth. 08:19 Q4 was another key milestone for our balance sheet with the closing of the sale of our Tennessee facility and PPP loan forgiveness by the SBA. We ended the quarter with cash on hand of approximately six point one million and zero drawn on our asset based line of credit. Our capital is adequate at this time to support our existing operations. 08:40 We eliminated over sixteen hundred SKUs of low margin third party distributed products. These products were low or no growth, carried low or unacceptable margins and were not our own manufactured products. The rationalized products were the lowest end of our margin profile. By eliminating these sales, it stands to reason our margins will migrate upwards over time. 09:05 Management focus on our brands will lead to additional support to our customers and product innovation opportunities so that we can provide excellent experiences consistently to our customers. As an example, our new Hausmann, 3D PROTEAM Builder, which is a configurable product application with customization features directly on our website has been very well received. 09:28 Customers can add their logos, choose colors, and further customize their configurations of our product offerings. Flexibility by listening and working with our customers is consistent with our mantra to make it easy for customers to choose us. We debuted this technology at the recent college athletic trainer society meeting with excellent feedback from the largest dealers in the country. 09:53 Moving to slide six, the positive meaningful customer and dealer demand for our new strategy both in Q4 fiscal year twenty twenty one and quarter to date in Q1 fiscal year twenty two has provided us with the confidence to initiate net sales guidance for fiscal year twenty two. 10:11 As a reminder, product sales in each quarter in fiscal year twenty two will represent products we plan to continue to offer as the optimization initiatives announced on April twenty two, twenty twenty one were substantially completed in fiscal year twenty twenty one. 10:27 Net sales are on pace to achieve approximately eleven point five million to twelve point zero million for Q1 fiscal year twenty two, which exceeds the nine point two five million quarterly continued product net sales baseline set in April twenty twenty one, and the nine point eight million continued product net sales achieved in Q4 fiscal year twenty one. 10:53 We expect assuming no significant adverse effect on procedure volume from the recent surge in COVID-nineteen activity net sales in fiscal year twenty two to be in the range of forty million to forty five million. We believe gross margins will migrate upwards over time from our recent results. The midpoint of this sales guidance represents fifteen percent growth relative to the thirty seven million annual continued product net sales baseline set in April twenty twenty one. 11:26 We expect the distribution of sales across the quarters to align with historical trends, which have tended to be a little higher in the first and fourth quarters and lower in the second and third quarters. We will be monitoring and adjusting to any new seasonality that may emerge from ordering patterns in the rehabilitation market from transitioning exclusively to a dealer based business model. 11:50 Excluding exit activities, gross margin would have been twenty eight point zero percent of net sales in fiscal year twenty twenty one. We are not providing gross margin guidance on the conference call today since we are still in the first quarter of our new gross margin profile. 12:06 As a reminder, our optimization plan targets higher gross margin in fiscal year twenty two relative to fiscal year twenty one, an improvement over time from recent years, absent significant impacts of the recent and continuing surge of COVID-nineteen. We anticipate selling, general and administrative expenses of thirty percent to thirty five percent of net sales in Q1 fiscal year twenty two. 12:35 Operating leverage should continue as we grow sales. Absent some significant impacts of the continuing surge COVID-nineteen recent outbreaks, the company continues to plan and execute on delivering higher operating income and cash flow provided by operations in fiscal year twenty two relative to fiscal year twenty one, excluding the notable other income events discussed in Q4. 12:59 Other income in Q1 of fiscal year twenty two is expected to include an approximate zero point six million benefit from the employer retention credit. We believe there continues to be opportunity to improve all of our financial metrics. This guidance is based on our current operations and is subject to the risk factors and other forward looking statements and uncertainties contained in this presentation and in our filings with the SEC. 13:27 On to slide seven, the markets that we serve our large growing and fragmented. Dynatronics is building a scalable platform to grow its customer and revenue base and generate sustainable cash flow so that we create value for our shareholders. The industry research continues to indicate that the rehabilitation and bracing and support markets exhibit attractive growth profiles. 13:50 Opportunities exist across Dynatronics primary brands to expand market share within existing customers, as well as add product offerings within the segments in which we compete. As we are all likely experiencing or reading about the statistics of facility activity, orthopedic procedures, and other peripheral activities like team sports that create demand for our products are volatile based on COVID-nineteen activity throughout the country. 14:18 Building on the foundation of the markets we serve, let's move to slide eight. Our M and A strategy is detailed here to give you an idea of what we will be looking for. We continue to have conversations regarding possible acquisitions, innovation partnerships, and other business ventures. And have the balance sheet and leadership team to execute on any that meet our well defined criteria. 14:41 This newly built leadership team, including Norm and me, have successfully acquired and integrated numerous target companies. Again, most recently while at Breg and a predecessor company, we completed thirteen successful acquisitions that enabled the commercial platform to be successful. 14:59 I will now turn the call over to Norm.
Norm Roegner: 15:02 Thanks, John. Please turn to slide nine, which contains our quarterly financial highlights. The full income statement and management discussion and analysis can be found in the ten K, and I will summarize them here. 15:18 Net sales were twelve point two million for the quarter ended June thirty, twenty twenty one, compared to eight point one million in last year's quarter. The full year over year increase is primarily due to an increase in overall procedures and activity compared to the prior year, which was heavily impacted by the early fallout of the COVID-nineteen shutdowns. 15:43 For the full fiscal year ended June thirty, twenty twenty one. Net sales were forty seven point eight million, compared to fifty three point four million in the prior fiscal year. The year over year decrease is primarily due to the continued impact of COVID-nineteen, including reduced demand for our products, reduced capacity, and operating hours, supply chain disruptions, and extended handling times. 16:11 Gross profit for the three months ended June thirty, twenty twenty one increased zero point nine million to two point three million or nineteen point one percent of net sales, compared to one point four million or seventeen point four percent of net sales in the same quarter of the prior year. 16:31 The year over year increase in high gross margin and gross profit was primarily driven by increased sales partially offset by notable changes to cost of goods related to exit activities for discontinued products in the fourth quarter. 16:49 Gross profit for the full fiscal year ended June thirty, twenty twenty one was twelve point nine million or twenty seven percent of net sales compared to fifteen point one billion or twenty eight point three percent of net sales in the fourth quarter of fiscal year twenty twenty. 17:08 The year over year decrease in gross profit and gross margin was primarily attributable to lower sales and COVID-nineteen impact, which reduced gross profit and notable charges to cost of sales associated with exit activities for discontinued products. 17:28 Excluding the zero point five million of costs associated with exit activities included in cost of sales, gross profit for the quarter ended June thirty, twenty twenty one was two point eight million or twenty three point one percent of sales. 17:45 Selling, general and administrative expense were four point six million for the three months ended June thirty, twenty twenty one, an increase of zero point nine million or three point six million in last year's period, due primarily to an increase in headcount related to revenue recovery and expenses incurred related to exit activities. 18:06 For the full fiscal year, S, G and A was down one point five million compared to the prior year, due primarily to lower commission expenses and decreased sales costs on lower sales. Excluding the zero point five million of costs associated with exit activities included in S, G and A, SG&A for the quarter ended June thirty, twenty twenty one was four point one million. 18:31 Other income totaled five point one million for the three months ended June thirty, twenty twenty one, an increase of five point two million from other expense of zero point one million in last year's period. 18:45 For the full fiscal year, other income was five point eight million, an increase of six point two million dollars from the prior fiscal year expense of zero point four million. The increase in other income is due primarily to PPP loan forgiveness of the gain on the sale from our former Tennessee manufacturing facility and the employee retention credit. 19:09 Net income was two point nine million dollars for the three months ended June thirty, twenty twenty one compared to a loss of two point three million dollars in last year's same quarter. Net income was two million dollars for the full fiscal year ended June thirty, twenty twenty one compared to a net loss of three point four million dollars in the prior fiscal year. 19:30 We expect our outstanding shares to increase in the range of two hundred thousand per quarter depending on our share price. As of September twenty three, twenty twenty one, the number of common shares outstanding was approximately seventeen point six million. 19:49 The balance sheet is in a strong position with a net cash position at six point one million on June thirty, twenty twenty one, which represents our highest cash position in recent years. We have zero balance on our line of credit and a borrowing base of approximately five point two million as of September twenty twenty one. 20:14 Let's go to slide ten. It is important to highlight the notable additions to other income included in the quarter ended June thirty, twenty twenty one. They include PPP loan forgiveness by the SBA, benefit from the employee retention credit, and a gain on the sale of our Tennessee facility. Excluding these three items, net loss would have been two point three million for the three months ended June thirty, twenty twenty one, and three point two million dollars for the full fiscal year ended June thirty, twenty twenty one. 20:50 The optimization initiatives announced on April twenty two, twenty twenty one were substantially completed by June thirty, twenty twenty one as planned. Therefore, we expect net sales for fiscal year twenty twenty two to represent products remaining in our portfolio as of July one, twenty twenty one. 21:14 In April twenty twenty one, we predicted approximately one point two million of exit related expenses to support the optimization initiatives, of which zero point four million dollars was expected in cash expenditures. The final expenditures were actually less than anticipated with approximately one million in total exit expenses, of which zero point two million dollars is expected in cash. This split of expenses was approximately fifty/fifty between cost of sales and SG&A. 21:48 Before I turn the call back over to John, I will note the company continues to expect volatility due the continuing challenges from COVID-nineteen, including higher delivery and shipment cost, supply chain disruptions, extended handling times and delays or disruptions in procedure volume. Dynatronics also expect some continued volatility from the company's business optimization. 22:18 This concludes our summary of the operating results. I will now turn the call back to John.
John Krier: 22:25 Thank you, Norm. Slide eleven shows the investment highlights for Dynatronics. Each statement is reflective of a set of actions designed to deliver results. Our clear focus is on driving organic revenue growth and cash flow from operations. We are well capitalized with approximately six point one million dollars of cash on the balance sheet at the end of June and no debt. 22:48 Strategically, we have clarified our position in the market with our well established brands and a leadership team focused on the future. We anticipate good progress in all of these key strategic areas in our fiscal year twenty twenty two. We are excited to be moving Dynatronics in the direction that will both reward our shareholders and provide a consistently differentiated experience to our customer. 23:12 I will now turn it over for questions.
Operator: 23:16 Thank you. [Operator Instructions] We'll take our first question from Jeffrey Cohen with Ladenburg Thalmann. Please go ahead.
Jeffrey Cohen: 23:46 Hi, John, Norm and Skyler. How are you?
John Krier: 23:49 Good, good morning Jeff.
Skyler Black: 23:50 Hi, Jeff.
Jeffrey Cohen: 23:51 Nice to see at ALS John in person. So I guess I'll start with Norm. The other items, is that zero point nine employee retention credit federal or state?
Norm Roegner: 24:07 It is a federal charge.
Jeffrey Cohen: 24:10 Okay, and then along with that, the point A on the gain of the sales, so there was a mortgage on that because the sale price was higher than the point A?
Norm Roegner: 24:18 NO, there was no mortgage on that. We had fully paid that off.
Jeffrey Cohen: 24:24 Got it. Okay. And then it sounds like your stabilization is mostly complete And could you talk about from this baseline level you're referring to, it looks like another two point five million on a quarterly basis on the top line upside. Is that coming from any place in particular internal developments? Or less products or more products or some products driving?
John Krier: 24:51 Yeah, Jeff, I would say it's really being driven by two things. The first is the reaction to the clarification of our strategy has been strong and the account manager support of our dealers is showing the early results and that's what we're feeling, plus just we operate in these two markets that are growing on their mid single digits on their own. And so that is the clarification in the revenue driver so far.
Jeffrey Cohen: 25:15 Okay, got it. And any internal developments or sorts that you'd like to call out as far as areas of focus or what we may expect product wise?
John Krier: 25:25 Yes. We're in the early stages of this consistent cadence of product innovation. The two tables we launched in January was a good start. We added the 3D PROTEAM configurator here in July and we continue to have opportunities across our portfolio. So that is a cadence that we're looking to in the future quarters to be able to continually release.
Jeffrey Cohen: 25:45 Okay, got it. And it looks like the readout is single digit growth at forty to forty five range for twenty two, that's above what you're calling on as a baseline. Is that right?
John Krier: 25:57 That's the way to look at it. We're looking at Q1 with the fifteen percent over the baseline. Q1 usually represents one of our highest quarters based on our historical seasonality trends. So that's a great start to the year. When we came into the fiscal year, we booked nine point eight million of our – what we believe is our continued portfolio in Q4. If we do achieve the market growth of the mid single digits, that's about ten point three a quarter that would land us in the midpoint of our range for the year at about forty two point five. That's how we arrive at that guidance.
Jeffrey Cohen: 26:27 Okay. And Norm you're stating on the share count, approximately eight hundred thousand share increase on an annual basis from the baseline you're at currently?
Norm Roegner: 26:40 Yeah. That’s correct personally now, yes.
Jeffrey Cohen: 26:43 Okay. Wonderful. I think that does for us. Thanks for taking the questions.
John Krier: 26:48 Thanks, Jeff.
Operator: 26:50 [Operator Instructions] We'll take our next question from Scott Henry with ROTH Capital. Please go ahead.
Scott Henry: 27:04 Thank you, and good morning. Just a couple questions, first for clarification, I know you're not giving gross margin guidance, but if I interpreted it correctly, the implication is that it should be higher than twenty eight percent in fiscal year twenty twenty two. Did I interpret that correctly?
Norm Roegner : 27:26 Yeah, I would say, you interpreted that correctly, Scott. I mean we did a lot of work on the optimization project and we expect the margins to migrate upwards.
Scott Henry: 27:36 Okay. That's helpful. I just wanted to make sure that was the baseline that twenty eight that you were using. Next question, just when you think S, G and A, thirty percent to thirty five percent for twenty twenty two, would you expect to start seeing that decline post twenty twenty two as you get a little more leverage into the new models, is that what you would expect?
John Krier : 28:04 Scott, this is John. I think that the way we’re looking at that in the Q1 is that guidance is for Q1 of our fiscal year. And then we are planning to scale and have operating leverage over time as we evolve our revenue model. So, I would use that range for Q1 and then we'll continue to work on it from there.
Scott Henry: 28:25 Okay. Great. And then from kind of a big picture revenue outlook, how should we think about, there's a lot of noise in fiscal twenty twenty one and probably some noise in fiscal twenty twenty two, but when we think about the categories orthopedic or physical therapy, how should we think about the organic growth in each of those categories?
John Krier: 28:56 I'll share with you the way that we look at it internally, Scott. We're fortunate to participate in these two markets that have natural tailwinds that grow in the mid single digits. So, as we're able to simply execute routinely and take advantage of those tailwinds, growing in the mid single digits is the right answer. 29:11 Then as we continue to execute our strategy, we can then take share, which is what allows us to grow at a rate that's faster than five percent. And those are the two points that we talk about internally and we work on to deliver growth in excess of what the market is naturally providing.
Scott Henry: 29:28 Okay. All right. Thank you. That's helpful. And then with COVID and cost input inflation and supply chain interruptions, are you finally you have any pricing power to perhaps up price to offset some of those input costs?
John Krier : 29:56 I think the way we're looking at it, Scott, is we certainly where we can and it's appropriate, we will have to pass on the price like most organizations do. We also have a number of conversations about how to better partner with our customers where we can have them participating in more of our brands or more of our product portfolio, which helps us offset some of those price increases through share and through simplification with those customers. But price is definitely something we have to pursue to manage these supply chain disruptions.
Scott Henry: 30:24 Okay. Great. And I guess just the final question, any comments that you would have on the current M and A environment and the ability to perhaps acquire new revenue streams. You've given all that's going on, how would you categorize that environment as favorable or unfavorable or typical, I guess?
John Krier: 30:47 The way that we categorize it for us, Scott is that it's very important to as a part of our strategy going forward. We need to drive organic revenue growth. We need to drive acquisitive growth. One nice part is that as we've been building this team, the ability to execute these exit initiatives in Q4 on schedule on time, we went from a standing start in mid-April to having it complete by January thirty was a good early demonstration of this leadership team's ability to execute. 31:15 So, as the right M and A opportunity comes along, we need to be able to take advantage of it and use this team to execute. So, still very active in that space and we look forward to continuing to grow in that way.
Scott Henry: 31:26 Okay, great. Thank you for taking the questions.
John Krier: 31:29 Thanks, Scott.
Norm Roegner: 31:30 Thanks, Scott.
Operator: 31:32 We'll take our next question from Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: 31:38 Thanks. Good morning. Just follow-up on a couple of points. On the acquisition front, just piggyback off the last question there. The type of acquisitions that you're looking to make or the ones that are in the pipeline would be more bolt-on as opposed to transformational correct?
Norm Roegner: 32:01 That's correct in the early stage. I mean, at this point, where the balance sheet is and the ability for us to have the best leverage overall for the business being at the lower end of our acquisition profile would be the near term opportunity.
Anthony Vendetti: 32:15 Okay great. And then on the gross margin side, the cadence that we should look at for fiscal year twenty two as you said, migrate upward, but it should be incremental every quarter or is there any particular reason why it wouldn't move up throughout fiscal year twenty two?
Norm Roegner: 32:43 Sorry, Anthony, it's a good question. It's tough for us to answer that right now. We're still trying to obviously navigate this COVID environment. We are seeing some impacts from the supply chain disruptions from COVID. So, it's difficult to say it's going to migrate up. We're going to continue to expect that to happen over time, but right now, we're not giving guidance or any forward looking cost on that.
Anthony Vendetti: 33:08 Okay. So, that kind of brings me to the last question on COVID. So the reason, the biggest input or variable that could have an impact on the gross margin in twenty twenty two would be continued supply chain disruption rate, whether it's, you know we hear about all the container ships that are off to the Coast of California that haven't able to get in. So, any type of supply chain disruption would be the main reason or variable that would potentially put a little pressure on the gross margin, right?
Norm Roegner: 33:42 I think that's a fair way to describe that and that's what we're focused on from a margin perspective, primarily right now.
Anthony Vendetti: 33:50 Okay. But from what I understand from my channel checks in terms of the customer side, the physical therapy offices, the hospitals that do physical therapy, they have all figured out how to provide these services in a COVID environment. Whether it's the original strand or the delta variant or any other variant that comes long, they're up and running and it's just a matter of how to work around it, but your customers are all up and running for the most part, is that correct?
John Krier: 34:33 Anthony, this is John, that is generally correct. For the most part of recent though with the activity there has been other delays or deferrals of procedures, not nearly at the level we saw last year, but there have been more than we saw, say at the beginning of our first quarter or at the end of our fourth quarter. So, it is something we all have to continue to monitor closely. Your point is also correct though that as practitioners they've really been aggressive and making sure that they can work around to the best extent possible the disruptions.
Anthony Vendetti: 35:03 Okay, great. All right. I think that's everything. Thanks so much. I'll hop back in the queue.
John Krier: 35:10 Thanks Anthony.
Norm Roegner: 35:11 Thanks, Anthony.
Operator: 35:14 And that is all the time that we have for questions today. Mr. Krier, do you have any closing comments you'd like to finish with?
John Krier: 35:19 Yes. Thank you, operator. Thank you all for your interest in Dynatronics. If you have any further questions, please direct them to Skyler Black or Jeff Christensen. Their contact information is in this presentation and in our press releases. Have a great day.
Operator: 35:35 This does conclude today's teleconference. We thank you again for your participation. You may disconnect your lines at this time, and have a great day.